Operator: Good day, everyone, and welcome to today's Colgate-Palmolive Company Second Quarter 2013 Earnings Conference. Today's conference is being recorded and is being simulcast live at www.colgate.com. Just as a reminder, there may be a slight delay before the question-and-answer session begins due to the web simulcast. At this time for opening remarks, I would like to turn the call over to the Senior Vice President of Investor Relations, Ms. Bina Thompson. Please go ahead, ma'am.
Bina H. Thompson: Thank you, Sarah. Good morning, and welcome to our second quarter earnings release conference call. With me this morning are Ian Cook, Chairman, President and CEO; Dennis Hickey, CFO; Victoria Dolan, Corporate Controller; and Elaine Paik, Treasurer. This conference call will include forward-looking statements, and these statements are made on the basis of our views and assumptions as of this time and are not guarantees of future performance. Actual events or results may differ materially from these statements. So for information about certain factors that could cause such differences, investors should consult our most recent annual report on Form 10-K filed with the Securities and Exchange Commission and available on our website, including the information set forth under the captions Risk Factors and Cautionary Statements on Forward-looking Statements. This conference call will also include a discussion of non-GAAP financial measures, which differ from our results prepared in accordance with GAAP. We'll discuss organic sales growth, excluding foreign exchange, acquisitions and divestitures. We will also discuss gross profit, gross profit margin, SG&A, operating profit, net income and earnings per share, excluding the impact of certain items described in the press release. And a full reconciliation with the corresponding GAAP measures is included in the press release and is posted in the For Investors section of our website at www.colgatepalmolivecom. We're delighted with our second quarter results, which continue the broad momentum we saw in the first quarter. Our simple financial strategy has again stood us in good stead. We increased our gross profit margin, while at the same time, reducing our overhead expenses. This allowed us to increase our advertising to drive the top line and still increase operating profit, both on a dollar basis and as a percent of sales and of particular note with our 70-basis-point increase in advertising as a percentage of net sales versus the year-ago period, the largest increase in 3 years. Our advertising ratio was up in every division and allowed us to support a very robust innovation program. As Ian mentioned in the press release, our new product pipeline is full, so that should bode well for the remainder of the year. And you'll hear about some exciting upcoming launches as I review the divisions. In addition to a healthy P&L, our balance sheet is solid and our cash generation strong. As Ian remarked, our Global Growth and Efficiency Program is proceeding smoothly, as well as our ongoing Funding the Growth program, and both these initiatives provide substantial savings opportunities so that we can continue to invest in the business. So let's turn to the divisions, starting with North America. We're very pleased with our continued strong results in this region. As referenced in the press release, we have good market share progress with increases across several categories. Of particular note was our launch in May of Colgate Total Advanced Pro-Shield mouthwash. As we told you last quarter, this has been introduced with a regimen concept and displayed with a companion toothpaste and toothbrush under the same brand name. Across the country, we had record regimen displays in-store. And in June, just 1 month after launch, we had over 5 share for Total mouthwash, with an overall mouthwash share of 8.4%. As you would expect, we had a very robust integrated marketing support plan, which included television, sampling, in-store activity, digital and PR campaigns. In addition, we implemented a strong professional plan with both large pumps and small patient samples in dentist offices. Our field consultants communicated the product benefits, such us 12-hour antibacterial protection even after eating and drinking, with clear, impactful sales materials. Our share of Colgate Total toothpaste also benefited from the strong display activity, increasing from 10.5% prelaunch to 11.5% post-launch. New product activities continue in this quarter. In the toothpaste category, we are launching Colgate MaxFresh Cool Scrub and Colgate Sensitive SmartFoam with Whitening. Colgate MaxFresh Cool Scrub builds on the strong franchise that the MaxFresh brand holds in the fresh breath segment. The freshening segment is large and appealing to young consumers, particularly in the 18- to 24-year range. This new variant has micro scrubbers for a freshness you can feel. During brushing, vigorous silica particles provide a micro scrubbing sensation as they gradually diminish. The packet sales calls out the benefit with a tagline, "Destroys bad breath bacteria from teeth and tongue." Our new sensitivity toothpaste built on the insight that consumers understand that formulas with foaming technology have the capacity to get to tough-to-reach spaces while brushing to help provide sensitivity relief with the additional benefits of whitening and fresh breath. Colgate Sensitive SmartFoam provides 30% more foam than our existing sensitivity toothpaste, along with a maximum strength anti-sensitivity ingredient. It's also formulated with high-performance cleaning silica to remove surface stains and help keep teeth whiter. Additionally, this is an exciting opportunity as both the premium price sensitive and whitening segments are growing faster than the toothpaste category overall. In toothbrushes, we're very excited about the launch of Colgate SlimSoft. This product was first launched in Asia and has garnered strong shares in several markets. In Hong Kong, for instance, it has a 15.6% year-to-date share, and in Thailand, almost 10%. The toothbrush has 17x slimmer tip bristles for a deep clean. The unique bristles provide a 6x deeper reach than end-rounded regular bristles. And the higher density bristles provide a unique feel, and the handle is flexible and ergonomic. As we told you in the press release, we recently achieved brand market leadership in manual toothbrushes, and this should help extend that leadership going forward. Turning then to Europe/South Pacific. We're pleased with our results in this region, given the very challenging macroeconomic environment. As you well know, GDP growth rates are low to negative and unemployment is high, particularly in countries such us Spain, Portugal and Greece. Consumer confidence is low, and consumers are looking for value. While category growth is slowing, our market shares across Europe are doing well, with increases in toothpaste, toothbrushes, mouthwash and fabric softener. Two of our acquired businesses, GABA and Sanex, are also doing very well. Both now are fully integrated, and we continue to gain learnings and innovation ideas from these 2 high-margin businesses. In toothpaste, we increased market share year-to-date in our 4 biggest countries: France, Germany, Italy and the U.K. And pleasingly, in the U.K., our share read for the last 2 periods was over 50% despite a highly competitive market. In manual toothbrushes, we increased share in all but the U.K., where, although the share is modestly down on a year-to-date basis, we reached a record share of 33.6% in the most recent period. We will continue to offer our consumers innovative products at all price points. We have some exciting innovation, providing added value at higher price points. Under the elmex brand, we are launching Colgate elmex Sensitive gentle whitening toothpaste, which provides effective protection and gentle care for sensitivity sufferers, with the additional whitening benefit. And a new fabric conditioner, Soupline Perfect Glide, should help continue the good momentum we have seen across the region in this business. To lessen the chore of ironing, Soupline Perfect Glide has a unique formula with a polymer which allows for easier ironing while delivering an explosion of fresh fragrance. Since I mentioned a moment ago, increasingly, the consumer is also looking for value. To that end, we're now relaunching our base Colgate toothpaste business across the region. The 6 variants, Colgate Cavity Protection, Colgate Triple Action, Colgate Anti-Tartar, Colgate Herbal Original White and Gums, will all have new modernized designs at affordable price points, an important initiative for a segment which still represents almost 30% of our business. Similarly, in Personal Care, we're launching Palmolive Essential Body Wash. This line will be smaller sizes at a lower price, providing the value-conscious consumer with the affordable luxury of appealing fragrances, along with the quality assurance of the Palmolive brand. Latin America. Latin America continues to deliver solid results with another quarter of strong organic sales growth. And as elsewhere, new product activity has been important driver of our business, and this is across all price points. In addition to the market share gains referenced in the press release, our market shares increased in underarm protection and bar soaps. In Brazil, our toothpaste market share is up 80 basis points on a year-to-date basis to 71.7%, the highest level in 15 years, with the most recent read at 71.9%. Both higher-priced products such as Colgate Luminous White and value-priced products in the Sorriso range have contributed to the share gain. In Mexico, our share is still well over 80% at 81.5% on a year-to-date basis, with the most recent read at 82%. And we're now a market leader in manual toothbrushes in every country across the region, including Mexico. Our share in Mexico was up 220 basis points year-to-date to 44.2%. In Brazil, we achieved a record 31.7% on a year-to-date basis, up 110 basis points. And we retrieved strong results, both in the premium segment in the modern trade, as well as in the indirect trade, where we have been driving distribution and visibility in a retail environment, which still represents 50% of the market. In mouthwash, our market share across the region is up 30 basis points on a year-to-date basis, and we're now less than 3 points from the market leader, whose share has steadily declined over the last 4 years. In Mexico, we reached a record 23.6%, almost -- up almost 2 full points on a year-to-date basis, with the most recent share at 24.7%. A new smaller 16-millimeter [ph] size has helped to drive per capita consumption and category penetration. We're continuing with our new product activity in the third quarter. As you know across the region, Colgate Luminous White toothpaste has met with great success. The whitening segment is the fastest-growing, and Colgate Luminous White is the #1 whitening brand in Latin America. This month, we've launched Colgate Luminous White Advanced in Mexico. This toothpaste was developed from the insight that many consumers believe only a professional whitening treatment can provide visible results. It intensifies the whiteness of teeth 3 shades whiter with a unique formula that contains the same ingredients that dentists use. At the same time in Brazil, we're relaunching Colgate Luminous White Enamel Shine, with whitening accelerators in a gel formula that also delivers a shinier smile. In the mouthwash category, we're launching a new Colgate Plax 2-in-1 in Brazil. This product delivers clean and fresh breath and actually shows you how it works. It contains a unique dual-liquid formula that is activated by shaking and mixing the 2 liquids. Its electrostatic action removes particles from your mouth, and its antibacterial action fights bacteria that cause plaque and bad breath. So when you rinse out, you see the product work with what's in the sink. In the Personal Care category, we're introducing Protex Men Power Shower Gel and Soap in September in Brazil. This builds on the Protex Men series launched last year, which is already the #1 variant in the rapidly growing men's body cleansing segment. Both bar soap and shower gel offered 10x more protection against odor-causing bacteria than ordinary soap, along with a high impact fragrance especially developed for the male consumer. Turning then to Greater Asia/Africa. Excellent momentum continues in this region. A strong increase in gross margin allowed us to increase advertising substantially behind new products, resulting in strong organic sales and market share increases. As referenced in the press release, our toothpaste share has increased in many markets. In India, our market share was up over 100 basis points to a record 54.2% on a year-to-date basis. We achieved gains both in the value and premium segments of the market. In China, our market share increased 90 basis points to 34.4% on a year-to-date basis. And in Russia, the launch of Colgate Optic White drove our share to 33.1% on a year-to-date basis, up 130 basis points, with the latest reading at 33.5%. We continue to grow our market-leading manual toothbrush share in India, up almost 3 points to 41.3%, with our latest read at 41.5%. Recent programs focused on increasing our distribution in the rural areas of this vast market have contributed to this success. So we'll continue to launch new products in the balance of the year to help us continue to deliver solid results. In the toothpaste category, we will be launching Colgate 360° Enamel, an incremental line extension to our Colgate 360° toothpaste range in China, which repairs and protects enamel through the reduction of erosion caused by bacteria. In the manual toothbrush category, we will be launching Colgate 360° interdental in select markets. This line extension provides consumers with 4x more deeper reach due to its floss-tipped bristles. And of course, as with other Colgate 360° toothbrushes, it features a wraparound tongue and cheek cleaner. In mouthwash, in Vietnam and China, we will be launching Plax Herbal Salt, which addresses local consumer desires for this key flavor profile while also delivering long-lasting fresh breath and reduce bacteria accumulation in the mouth. In both these markets, our mouthwash share is up strongly on a year-to-date basis, and this new product should help continue the trend. In shower gels, we're very excited about the launch of Palmolive Gourmet Spa in Russia and Turkey, where we saw increased market share on a year-to-date basis in both markets. This new range has tempting aromas and wonderfully soft textures, encouraging the consumer to immerse herself in the ultimate indulging escape. It comes in the following variants: Enticing Chocolate Veil enriched with dark chocolate and cocoa bean extract; Tender French Vanilla with sweet vanilla extract; and Delicious Strawberry Smoothy infused with strawberry juice. Lastly, Hill's. We're particularly encouraged with Hill's performance and the fact that we delivered volume growth 1 quarter ahead of schedule behind 3 important initiatives. Our new product activity across our brands has been very well received by the trade, the profession and the consumer. Our first initiative, Ideal Balance, which started shipping in May in the U.S., has done very well. The placement in the naturals aisles in the pet superstores has been ahead of plan and should be completed by the end of August. Year-over-year consumption is up at both PETCO and PetSmart, and we've been working very closely with both retailers to drive results. We've had a full marketing campaign, including TV and digital media, as well as a widespread consumer sampling program. In addition to the dry and wet dog and cat food, we added canine and feline treats in June to complete the line. And we're continuing our media investment in the third quarter, and we'll add more high-impact in-store displays in September. The second initiative has been the relaunch of our Science Diet line. At the end of the quarter, we added 3 new cat products and 2 new dog products: Adult Grain Free cat, Adult Indoor Long Coat cat, Senior Indoor Age Defying Cat, Adult Grain Free dog and Senior Small and Toy Breed Age Defying dog. We anticipate that these will be in full distribution by the end of August. In-store support has included nutrition consultants who'll explain the particular benefit of each diet to the shopper. Our third initiative is the launch of Prescription Diet Metabolic, both in the U.S. and overseas. This unique diet to help achieve weight loss in dogs and cats is doing well globally, exceeding all targets and budgets. The repeat rates have been excellent, and the launch is driving category growth in the U.S. and overseas. So we'll continue to focus on these very important new product initiatives in the third quarter, supported, of course, with the continuation of our comprehensive integrated marketing campaigns. So in summary, we're very pleased with the continued momentum in our business around the world. Our new product pipeline is as full as it's ever been, and that should help continue to drive sales and market shares in both developed and emerging markets. Our simple financial strategy and sharply focused initiatives are serving us well. In addition, our Global Growth and Efficiency Program is on track to provide even greater opportunities for investment. Colgate people around the world are working hard to deliver our results, and we look forward to sharing those results with you as we go through the balance of the year. So that's all I had for prepared remarks. Sarah, if we can open up the line to questions.
Operator: [Operator Instructions] We'll hear first from Joe Lachky of Wells Fargo Securities.
Joe Lachky - Wells Fargo Securities, LLC, Research Division: Just first off on your guidance, the EPS outlook that you mentioned in the press release. Just wanted to verify, that was solely due to foreign exchange in Venezuela. And then secondarily, along the guidance lines, just wanted to verify your outlook on organic growth. You mentioned 6% to 7%, Europe 5.5% year-to-date. I guess you got a little bit easier comps in the second half, but wanted to hear your outlook on that. And then also, if you could talk about your 30 to 70 basis points of gross margin improvement that you're expecting.
Ian M. Cook: Thanks for the one question, Joe. So to come to the points on guidance, you are absolutely correct. Indeed, we've already seen some notes where folk have picked that up. It is entirely due to Venezuela, which is unchanged from what we told you earlier in the year, and the additional 1% reduction in the range is due to the foreign exchange volatility and the strengthening of the dollar we saw in the last 4 to 6 weeks of the quarter and is predicated against the current spot rates. The growth part of your question I think merits a little bit of perspective. As you might suppose, we are pleased with the fact that as a company, we have this quarter between 53% and 54% of our worldwide sales in the higher-growth emerging markets. But we also believe that the decisions we took some 30 years ago to focus on the categories in which we do business continue to be a positive factor in the sense that we are marketing products that are everyday-use products for people brushing their teeth, cleaning their bodies, looking after their homes and indeed caring for their pets. So we think the category choice is durable. Now when you look around the world, as we have said on many previous calls, we continue to see the U.S. categories grow low single digits. We continue to see Europe grow extremely low single digits. Indeed some of the categories are flat and some are modestly negative, not new news and something that we have been factoring into our planning for some time. When you turn to the emerging markets, notwithstanding the macro news that we have been reading about, our data so far shows that those categories continue to maintain high single-digit growth rates, which is very pleasing. And of course, we are focused very, very closely on seeing whether any of that macro commentary turns into a category pressure for our businesses. But that being said, even with that, we are reaffirming our 6% to 7% organic growth rate for the year. As Bina said earlier, our new product pipeline already executed in the market and the ones that Bina mentioned for the balance of the year is extremely strong. Secondly, we are encouraged by our market share progress around the world, which obviously gives you incremental growth beyond the category growth. Third, our Hill's business, which we had expectation to turn positive in the second half of the year, has indeed done so with a faster start than we were expecting, and we get that benefit for the balance of the year. And finally, as many of you have already noted, our comparisons in the second half from an organic top line point of view are somewhat easier than they were in the first half of the year. And then finally, on gross profit, let me take this opportunity to run through the second quarter, the gross profit roll-forward. So if you start with 57.9%, which was the second quarter gross profit in the prior year, pricing gave us 40 basis points Funding the Growth, following our usual pattern where second quarter Funding the Growth steps up from the first, was 210 basis points, actually better than what we delivered in 2012. Material prices were a headwind of 180 basis points, and the combination of that and the pricing gives us the 70-basis-point growth that we saw in the second quarter. And yes, we are very much staying with our gross profit guidance of 30 to 70 basis points and, of course, extremely pleased with the year-to-date progress at the higher end of that range. And there's one other thing I should add relative to the gross margin and also relative to the earnings guidance, because of the currency volatility, and that is our plans for the balance of the year, of course, have us offsetting the transaction impact of foreign exchange in order to continue that gross margin progress. That's the end of the answer.
Operator: And moving on, we'll take a question from Bill Schmitz of Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: It was a monster operating margin quarter in North America. So can you just kind of dig a little deeper on what drove that and maybe sort how sustainable that almost 30% operating margin is in the home market?
Ian M. Cook: Well, we were indeed very, very pleased with -- I assume monster means good?
William Schmitz - Deutsche Bank AG, Research Division: Yes.
Ian M. Cook: Yes, we were very pleased with the progress in the U.S. Obviously, it traces back, as you will already have seen, to the gross margin, which expanded extremely healthily. And as we said in the release, that gross margin obviously used to fund advertising investment and indeed fund a little bit of stepped-up debt for promotional activity, which most of you have seen as we came towards the end of the quarter, which comes nicely back to the top line, and then good control of non-variables in the geography. So certainly, our expectation in our U.S. business is to sustain the growth in our gross margin, whether it will be as strong as the first half of the year, which indeed was extraordinarily strong, we will have to see. But our plans in a relatively benign commodity cost environment with our traditional strong Funding the Growth program, as we look forward, sees us with continued strong gross margin progress.
Operator: And moving on, we'll hear from John Faucher of JPMorgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: Obviously, you guys are holding in better than generally what we're seeing coming out of consumers in Brazil, where it looks as though we're getting sort of a stagflation type of environment there. So can you talk specifically about whether it's stuff you're doing? Is it categories where we're your categories just more resilient relative to maybe what we're seeing in the food and beverage side? And can you talk about sort of the ability -- you talked about transactional pricing to cover transactional FX. Can you talk about the ability to get further pricing through in that market?
Ian M. Cook: Yes, John. Well, I guess, the headlines would be and indeed that was the point I was trying to make in talking about the categories in response to the first question. We do think there is a difference between an everyday health and wellness, and indeed in Brazil, pet nutrition business to perhaps more discretionary types of categories. As we even saw during the sub-prime, you will remember we talked about it that people stayed with behavior in Brazil, and we use Brazil as an example. And they did not trade down. They stayed, if they were buying one of our premium offerings, as indeed they are buying Optic White today, they stayed with those premium offerings because they saw value in the benefit they were given, number one. Number two, without being too self-effacing, we believe that the combination of the innovation and the marketing programs that we have in the emerging geographies, Brazil being a very good example, outsizing, outpricing the way we distribute, the visibility we focus on at retail when we distribute, the timing of our promotions, all things that sound extremely fundamental and extremely basic, and they are. But we believe doing them well makes a difference in terms of continuing to reach all of your consumers in the different areas of the country at the different price points that they buy and making sure that you keep that consumer connected to you. And finally, indeed, as we speak, in many markets, we have and continue to move with pricing to the degree necessary to offset the transaction impact.
Operator: And up next, we'll take a question from Alice Longley with Buckingham Research.
Alice Beebe Longley - The Buckingham Research Group Incorporated: I had some more questions about Latin America. I think you had said in the first quarter that if you were to take Venezuela out, your Latin American operating margins were up. Is that true of the second quarter as well? And then as a follow-up to your comments about Brazil, can you give us any sense of how much your volume was up there alone and how much pricing you're taking in Brazil?
Ian M. Cook: Alice, in response to your comment, the answer to the first question is the same answer as it was in the first quarter. So absolutely, yes. And the answer to the second question is no.
Operator: And our next question will come from Ali Dibadj of Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Just want to ask a quick follow-up question and then get to the real question on Hill's. You mentioned a few questions ago that you're offsetting the transactional impact of currencies by taking pricing. But if 4.5% to 5.5% all-in EPS growth is still double-digit constant currency desk [ph] growth, it would seem the top line impact of currencies is less than the bottom line impact of currencies. So I would love some clarification on kind of that answer you gave a while ago. But the real question though for me is around Hill's, which, to your point, has clearly started growing the top line again. But margins were down a couple of hundred basis points for the first half of the year. And of course, that's some launch investments, that's the clearly higher ingredient costs as you're going more natural. But just trying to get a sense from you about what you think the run rate Hill's margin should be going forward, and what's the kind of concomitant [ph] in top line growth you would expect with that margin.
Ian M. Cook: Yes, well, Ali, your -- and we've, I think, at least around the edges, had this discussion before. The impact on the top line of the foreign exchange is about 3%, 3.5%, and the impact on the bottom line is about 1 percentage point more than that, for reasons of geographic mix and dollars denominated, corporate overhead and factors like that. So there is a difference, and that's the case there. Hill's, again, I repeat, we are extremely pleased. We think we have the right innovation to build the true naturals entry that we have with Ideal Balance, to stabilize and rebuild our everyday wellness product in Science Diet and to continue to advance with clinically proven therapeutic efficacy, our prescription product, Prescription Diet. As we have said a couple of times, but certainly in the first quarter, moving to Ideal Balance and relaunching the Science Diet product was a choiceful investment in formulation to be successful and competitive and regrow the business, and that is job #1. I think we have said that our expectation on the Hill's business is to bring that business back to mid-single digits organic growth pace. And without getting into the specifics, you can rest assured that there is a very well-thought-through plan embedded in our strategic planning to rebuild the Hill's gross margin over a period of time.
Operator: Our next question today comes from Olivia Tong of Bank of America Merrill Lynch.
Olivia Tong - BofA Merrill Lynch, Research Division: Just on margins and more specifically Latin America and Europe. You guys said that Funding the Growth in the press release was benefiting both regions and other regions as well. But I was wondering if you could talk a little bit more in detail about how big that might have been relative to other regions? Because I was kind of surprised that you didn't see more of a hit in Lat Am, given the FX, and that European margins were up, given the negative pricing. And then just following up on European pricing, given your plans behind like base Colgate and smaller sizes of Palmolive Essentials, do you expect pricing to remain negative in Europe in the back half of the year?
Ian M. Cook: Our Funding the Growth has been effective in most geographies. Remember, the drag in Latin America, as we said in the release, is really Venezuela. When you look at Europe, the benefit there is indeed commodities and our Funding the Growth program. And I think we made the point in Europe, we also saw nice progress on the overhead reduction plan that we have. So that would answer the question on Europe. What was the last?
Olivia Tong - BofA Merrill Lynch, Research Division: It was European pricing, what you're expecting for the second half?
Ian M. Cook: Europe is a very tough environment. And I think it would be fair to say that in that environment, the expectation built into our plan continues to show modestly negative pricing in Europe. I would say that the innovation spread that we have across all price points, which is to say our premium innovation and the value innovation that Bina mentioned, is not in any way gross margin dilutive.
Operator: And moving on, we'll hear from Bill Chappell of SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Just a follow-up -- a question on Hill's. Maybe I don't fully understand why it improved kind of a quarter ahead of expectations. Because you outlined a lot of initiatives, which really didn't kick in until mid or even end of the quarter. So was it category is rebounding or were there other things that are really driving it?
Ian M. Cook: Yes, Bill, it really is that -- obviously, given the time we have waited for this, we wanted to be thoughtful about stating when we would see the turn. The preliminary plans we had showed activity leading to a result in the third quarter. The fact of the matter is, working very closely with those 2 major retailers, PETCO and PetSmart, the execution was accomplished slightly faster than planned and with good effect, as you see. And then as Bina mentioned also, we have now followed that up with a lot of innovation to follow the base innovation towards the end of the second quarter and into the third quarter to keep that momentum going, with continued support from those retail partners. So it really is that simple. The execution was just accomplished a little bit quicker than we had originally forecast.
Operator: We'll hear next from Ian Gordon of S&P Capital IQ.
Ian J. Gordon - S&P Capital IQ Equity Research: I just wanted to understand the interplay between the volumes and the pricing in North America a little better. I think it's first quarter and 1.5 years with price was down, but obviously the volumes were great. So how much of this is consumers responding better to some of the increased promotional activity versus say investments in trial building that are bearing fruit versus mix or something else? And then what is electrostatic action in toothpaste? That sounds interesting.
Ian M. Cook: Okay, well first of all, a great, great name, so I'll take a long time answering this question, Ian. The answer in North America is exactly as you suppose, which is that it is trial building behind innovation that we have. Remember, in the U.S., couponing is also included in pricing, and that is a very important vehicle in conjunction with retailers to build trial. And I mentioned, given some of the marketplace activity we were facing, we indeed stepped up our promotional activity selectively and we like, as you say the balance we got for that price versus the growth. And of course, we still saw a terrific expansion in gross margin. And we've been saying for quite a long time on these calls, that when you think about engaging the consumer, particularly in the developed markets, you can have very strong brand-building, programs that would be reflected in price and run in retail environments. And whilst you've also seen our traditional advertising and promotion increase, it is a great way working with the retailers to build trial for innovation. And you can expect to see that continue out in time. And electrostatic action is good for you.
Operator: And our next question comes from Caroline Levy of CLSA.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: Just wondering if you continue to see such good top line momentum, particularly the volume mix, whether you would look to reinvest any profit upside in the fourth quarter behind any big ideas that you're working on or even in the third quarter?
Ian M. Cook: Yes, Caroline, we'll let you know in October and January. But clearly, I think the stance we have taken, exactly as Bina said, is to try and execute our financial strategy to the benefit of the business, which is continue to see our gross margin expand, continue to manage our overheads very tightly. And of course, as the Global Growth and Efficiency Program works its way forward, we will see increased to benefit from that so that we can do precisely that, which is to take up our advertising expenditure behind building brands and our overall commercial expenditure behind the same objective.
Operator: And we'll move to a question from Michael Steib of Credit Suisse.
Michael Steib - Crédit Suisse AG, Research Division: Can you give us the actual growth rates for some of the bigger emerging markets, China, India, Brazil and so forth?
Ian M. Cook: No. I wouldn't get into that level of detail. I will say -- you could say for those markets that you just raised, they were all double-digit organic growth rates.
Operator: Moving on, we'll hear from Connie Maneaty of BMO Capital.
Constance Marie Maneaty - BMO Capital Markets U.S.: I have a question on Hill's. Could you comment on the early market share read you have for the combination of Science Diet and Ideal Balance and is Science Diet, in particular, gaining share?
Ian M. Cook: The Science Diet is basically flat on market share at this stage. Ideal Balance is building share. The really important data, Connie, is going to be in the fourth quarter when we start the get the trial and repeat for both of those products, and that will shape our investment stance going forward. It really is a little bit early given the nature of those businesses to see anything dramatic. So far, the trends are good. Key for me is going to be trial and repeat, and we won't have that until the fourth quarter.
Operator: And from Barclays, we'll take our next question from Lauren Lieberman.
Lauren R. Lieberman - Barclays Capital, Research Division: So 2 things, because everyone was asking more than one question. First was just -- I thought you guys were relaunching Total in some countries in Latin America this quarter and just -- it wasn't mentioned, so I just wanted to know if that happened and impact it may or may not have. And the second the thing was just on pricing. I know, particularly in North America, you commented on choice to increase promotional activity. But overall, with your focus on pricing analytics, pricing has been a pretty big contributor to the top line last year. Europe, you've done a really great job to getting it to be less negative, and then it kind of dipped down 3% again this quarter. So maybe tough to look from such a big picture standpoint, not into each market. But from here, is pricing a bit less of a benefit? Has kind of price analytics work you've done maxed out its potential in terms of incremental contribution to top line? Or this quarter a little bit more of a one-off?
Ian M. Cook: I would say -- first of all, let me answer the sort of factual easy question, Total relaunch. We have a new Total variant called Total Gum Health, which is what is moving around the world, and initial market response has been pretty good. But that is still in the process of rolling out. And to be candid, we simply just didn't mention it, not for any negative reason. It's still moving, I guess, is the point. And no, absolutely not from the pricing analysis point of view. We do think this quarter was a one-off, particularly in the U.S., given the innovation flow that we had and the trial that we were seeking to build behind the mouthwash, that we really just launched slap bang in the middle of the second quarter. We are using it very assiduously. We're obviously using to help us guide how we take the pricing in the emerging markets to offset the transaction impact on cost. So no, it has neither less focus nor less utilization, and it will continue to guide our pricing actions for the balance of this year and, of course, into 2014 and beyond.
Operator: And our next question comes from Javier Escalante of Consumer Edge Research.
Javier Escalante - Consumer Edge Research, LLC: My question is also on pricing but it has to do with Europe. It's a little bit on a follow-up on Lauren's, and it has to do with -- pricing has been negative actually for a long time. And if you can comment on, number one, whether it's a specific part of the portfolio? I suspect that it maybe the household product part of the portfolio. And if so, will you consider after a couple of years of negative pricing of making some divestitures in that part of the portfolio?
Ian M. Cook: Javier, let me -- first of all, let me answer the end of the question, which is divestitures. The answer is no. We think that Europe, particularly now over the last several years, has been a very difficult environment with the consumer and indeed with customers who are looking for store traffic. So in the end, from a European point of view, our planning assumes limited growth in that geography for the foreseeable future. And you may remember that when we announced the Global Growth and Efficiency Program and indeed with the plans that you have already seen implemented, there is a very strong bias to getting our structural costs in the right shape in order to get what growth is reasonably available in Europe and deliver a reasonable bottom line. So what you're going to see, you saw the gross margin this quarter benefit, and the focus will be on equally reducing our overheads. The other point to make in Europe, and again we have said this before, not just for us but for many, there is a bias to activity at the retail level, which gets captured in commercial spend, not in the traditional A&P. So you are seeing that, too. And we believe that at some stage, Europe will come back. But as we have said many times, it is not in our immediate planning horizon, so we're focusing on growth that is reasonable, delivered by commercial spend in totality while building gross margin and lowering overhead. And that's going to continue to be our focus in Europe with all of the categories that we compete in today.
Operator: [Operator Instructions] Next, we'll hear from Mark Astrachan of Stifel.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: Ian, you described the inputted cost environment as benign. And I guess, that sort of bears out in the continued expectation for 30 to 70 bps of gross margin expansion. I guess, I'm just curious, given the current level of oil, does that at some point flow through maybe not this year but next year? And then maybe just comment a bit on broader sort of input cost bucket puts and takes. And if you could just remind what the oil expectations were for the original budget in '13, that would be helpful.
Ian M. Cook: Yes, to answer the second question first, and it hasn't changed, we had 110 in our original budget, so not a factor this year. And given the performance of oil in the world, I think we should defer any discussion about 2014 until we're a little bit closer. Yes, the cost environment is benign as many have seen. I will make one observation, and that is you will remember 3 years ago and before, it used to be the case that when foreign exchange strengthened, commodities went the other way. We're not seeing that. We haven't seen that for a couple of years. So while benign, still elevated and no big correction down in a strengthening foreign exchange environment. So again, we focus on all of the things, the pricing, the mix, the funding, the growth and to the extent that global growth and efficiency will benefit our gross margin to offset and continue to build that gross margin.
Operator: And with that, we have no further questions from our telephone audience.
Ian M. Cook: Well, terrific. Thanks for being on the call. And as Bina said earlier, a particular big thank you to all of the Colgate folk who get this done. And we look forward to talking with everybody at the end of our third quarter.
Operator: Ladies and gentlemen, that does conclude today's conference. We do thank you all for joining us.